Operator: Thank you for standing by. This is the conference operator. Welcome to the Microvast Third Quarter 2024 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. I would now like to turn the conference over to Microvast Investor Relations. Please go ahead.
Unidentified: Thank you operator and thank you everyone for joining our quarterly update today. With me on today's call are Mr. Yang Wu, Founder, Chairman and CEO and Ms. Fariyal Khanbabi, CFO. Mr. Wu will start off with a high level overview of the quarter before providing some operational and business updates. Ms. Khanbabi will then discuss our financial results in detail before handing it back to Mr. Wu to wrap up our 2024 outlook and closing remarks. Ahead of this call, Microvast issued its third quarter earnings press release which can be found on the Investor Relations section of our website ir.microvast.com. We have also posted a slide presentation to accompany management's prepared remarks. As a reminder, please note that this call may include forward-looking statements. These statements are based on current expectations and assumptions and should not be relied upon as representative of views for subsequent dates. We undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements due to new information or future results. Actual results may differ materially from expectations due to a variety of risks and uncertainties. For more information on material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. We may also discuss non-GAAP financial measures during this call. These measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metrics in the tables included at the end of our press release. After the conclusion of this call, a webcast replay will be available on the Investor Relations section of Microvast's website. And now I will turn the call over to Mr. Wu for opening remarks.
Company Representative: Thank you operator and thank you everyone for joining our quarterly update today. With me on today's call are Mr. Yang Wu, Founder, Chairman and CEO and Ms. Fariyal Khanbabi, CFO. Mr. Wu will start off with a high level overview of the quarter before providing some operational and business updates. Ms. Khanbabi will then discuss our financial results in detail before handing it back to Mr. Wu to wrap up our 2024 outlook and closing remarks. Ahead of this call, Microvast issued its third quarter earnings press release which can be found on the Investor Relations section of our website ir.microvast.com. We have also posted a slide presentation to accompany management's prepared remarks. As a reminder, please note that this call may include forward-looking statements. These statements are based on current expectations and assumptions and should not be relied upon as representative of views for subsequent dates. We undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements due to new information or future results. Actual results may differ materially from expectations due to a variety of risks and uncertainties. For more information on material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. We may also discuss non-GAAP financial measures during this call. These measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metrics in the tables included at the end of our press release. After the conclusion of this call, a webcast replay will be available on the Investor Relations section of Microvast's website. And now I will turn the call over to Mr. Wu for opening remarks.
Yang Wu: Thank you and thank you everyone for joining today's call. Please turn to Slide 3 and I will cover the key messages from our third quarter. As we communicated earlier this year, we are keenly focused on improving both the efficiency and profitability. Throughout 2024, Microvast has been executing on the strategies of our solid business in EMEA and APAC while implementing strategic cost cutting measures in the U.S. Despite the challenging environment in the U.S., I'm excited to announce we have achieved profitability in the quarter with a net profit of $13.2 million and adjusted EBITDA of $29 million. This is a historical milestone for us. I want to thank the entire team here at Microvast that made it happen. This is an incredible achievement for both the company and the domestic Lithium Battery segment in the U.S. The lithium battery manufacturing industry is a difficult business with a long-term investment horizon. We have learned much during our rapid growth period. Microvast has commercialized the products across our technology stack and industrialized the manufacturing process many times over. We aim to continue innovating and focusing on our business strategy as we grow both in the U.S. and globally. To reiterate to our shareholders what our business strategy includes, I'd like to briefly touch on it. First and foremost, Microvast is a vertical integrated battery technology company. The core driver of our business is innovation. We remain focused on technology and product development with many exciting products on the way. Our newest product including our industry first overhaulable ME6 LFP ESS containers and Silicon Enhanced Cell technologies. We have also made material progress on our all solid-state battery. We are continually seeking to broaden our revenue stream through products and services that support the global energy transformation. To achieve our goals, we must also capture future market shares. Microvast continues to invest in commercialization of both current and future high demand advanced products. With our focus on the product innovation and capturing market share, Microvast strives to achieve further growth. We continue to optimize our core business and aim to attain sustained profitability. Now if you will please join me on Slide 5. Microvast continues to be successful in expanding our commercial vehicle reach, particularly in EMEA. Highlights from the quarter including our successful unveiling of a new silicon-based cell technology at a premier electric mobility exhibition in Germany. These enhanced cells have improved energy density forever evolving performance requirements of our customers. While we are very excited about the trajectory we are on, this quarter wasn't without its challenges. Global uncertainty around policy shifts in Europe and within the U.S. has decelerated rollout of certain light commercial vehicle platforms. In addition, rapidly growing markets such as India and Thailand have prioritized LFP chemistries for their affordability versus high performance. Overall in addition to being a historic quarter achieving probability, the business posted record third quarter revenue with 27% growth year-over-year delivering $101.4 million. We achieved this growth while maintaining a gross margin of 33.2%, a 10.9 point improvement year-over-year. This incredible growth comes largely from sales increase in EMEA. We once more sold triple digit percentage growth of 212% for EMEA year-over-year. Now if you will join me on Slide six, we have some exciting new business developments in our Commercial Vehicle segment. Propel is a leading Indian industry mining, crashing, screening and a construction company. Microvast will be fulfilling orders to power their mining and dump trucks. XCMG was founded in 1943 and has stood at the forefront of the construction and machinery industry in China. We are proud to partner with them and expect to start serial production of our battery packs for use in their construction equipment next year. And finally, LGMG is a major player in the mining and auxiliary equipment industry. Microvast will be supplying them with our battery packs and we expect to see revenues by the end of the year. This customer will utilize Gen 4 pack with both our 53.5Ah and 48Ah cell technologies. The Heavy Industrials segment has increasingly adapted our high performance cells for their applications. We also continue to find success in adoption by hybrid and fuel cell OEMs as well as the Agricultural segment. I would now like to turn the call over to Ms. Khanbabi to discuss our financials in more detail.
Fariyal Khanbabi: Thank you Mr. Wu and thank you everyone for tuning in. I'm going to start by walking you through our Q3 2024 financial performance, focusing on some key metrics that underscore our progress. Starting with slide 8, we will review the core financial highlights for the quarter. As Mr. Wu mentioned, Q3 was a record quarter with revenue reaching $101.4 million, up 27% from $80.1 million in Q3 2023. This growth was fueled by strong EMEA sales for commercial vehicles driven by OEMs increasingly adopting our technologies. Our gross margin improved this quarter to 33.2%, up from 22.3% in Q3 2023. Excluding non-cash share based compensation expenses, the adjusted gross margin rose to 33.9%, a 9.7 percentage point increase versus the prior year period. This increase in gross margin is due to a combination of factors including better economies of scale through operational efficiencies, more favorable product mix, and sustained lower raw material prices. Adjusted EBITDA turned positive, reaching $29 million as we focus on achieving sustainable profitability. We reported a GAAP net profit of $13.2 million in Q3 2024, compared to a net loss of $26.2 million in Q3 2023. After adjusting for noncash items such as share based compensation expenses and fair value changes of our warrant liability and convertible loans, adjusted net profit came to $16.8, million, a substantial improvement from an adjusted net loss of $10.3 million in Q3 2023. Turning to Slide 9, we will review the rest of the P&L in more detail. Operating expenses reduced to $27.5 million in Q3 2024 compared to $44.7 million in Q3 2023, a 38% decrease from the prior year period. This reduction across G&A, R&D and sales and marketing were largely due to reductions in share based compensation and cost control measures we began implementing in May this year. After adjusting for noncash share based compensation expenses, our adjusted operating expenses in Q3 2024 were $22 million compared to $30.3 million in Q3 2023, a decrease of $8.4 million. The impact of these adjustments and reconciliations of these non-GAAP metrics to the most comparable GAAP metrics are included in the tables at the end of our earnings press release. On Slide 10 we show the geographic breakdown of our revenue mix for Q3 2024 compared to the prior year period. Our EMEA business grew by 212% year-over-year and accounted for 59% of our quarterly revenue up from 24% a year ago as we continue to grow our partnerships and key customers continue their vehicle ramps. Please turn to Slide 11 and we'll briefly review our cash flow. Net loss for the nine-month period has impacted cash flow that has been substantially offset by noncash adjustments including $30.3 million of share based compensation and $68.8 million from impairments write downs and disposals. For operating cash flow in the nine-month period we saw a net outflow of $3.3 million. We received positive adjustments from improvements in our receivables while we've substantially reduced age liabilities and expenses for an overall net negative adjustment. From investing activities, we saw a net outflow of $12 million for the nine-month period primarily due to capital expenditures partially offset by short-term investments. For financing cash flow in the nine-month period we saw a net inflow of $46.6 million overall combined with a negative impact from exchange rates of $4.6 million. We had an increase of cash of $26.8 million for the nine-month period showing improved financial stability. We believe that our financial results demonstrate that we are building a profitable, resilient foundation with expanding market demand especially in EMEA. Our focus on driving sustainable profitability, improving margins, and achieving operational efficiencies continues to strengthen our position. We are committed to executing our strategic vision, and we believe that as our results continue to unfold, the market will recognize the intrinsic value that Microvast brings to the energy storage and electric vehicle sectors. With that, I will hand it back over to Mr. Wu to go over our outlook for the remainder of 2024 and closing remarks.
Yang Wu: Thank you. Please turn to Slide 13, which provides a summary outlook for the rest of the year. For the fourth quarter, we expect revenue to be in the range of $90 million to $95 million, which put the full year anticipated revenue growth in a range of 15% to 18%. We continue to strive for operational efficiencies and we are maintaining our target gross margin of at least 25%. For our APAC business we continue to target production capacity improvements at our Huzhou facility, as well as progressing towards exciting products to add to our extensive product portfolio. We also anticipate that our high growth EMEA business will achieve an 80% revenue increase year-over-year and we are working to secure new strategic partners for both current and upcoming products. For the American segment, we are focused on expansion of our commercial vehicle footprint while securing future orders for our new ME6 LFP ESS platform. We are also looking into options for full financing solution for our Clarksville facility. I would also like to reiterate on the global level that our focus is on profitability through regional efficiency and growth. We are targeting sustained positive adjusted EBITDA contributions from our established business in EMEA and APAC. Consistent revenue growth and the ability to maintain a healthy gross margin profile is the key to improving our liquidity and providing a route to long-term profitability. To summarize, our core focus continues to be on product development, operational efficiencies, key customer growth, reducing liabilities and strategic cost cutting. Please join me on Slide 14. I would like to take a moment to welcome new investors as well as reinforce who Microvast is as a company to our legacy stockholders. Microvast is a U.S. Company funded and headquartered built today in Texas where I funded the company. We strive to be a trusted global provider of cutting edge energy technology solutions. The company holds more than 775 patents that are either granted or pending with our products currently powering equipment worldwide. We aspire to continue our groundbreaking product innovation across our extensive technology stack and we aim to be steward of the electric energy revolution to create a cleaner and more resilient planet for all our humanity. At Microvast our eyes remain firmly on the future of technology. We have recently announced our ME6, an overhaulable high performance LFP based ESS container. Our new container provides customers with an extended value proposition in total cost of ownership and a system that is reliable across the spectrum of applications. This includes everything from solar and wind utility scale storage to powering the data center required for cloud storage or AI computation. Additionally, at IAA 2024 in Germany, we unveiled multiple new cell technologies leveraging silicon that provide improved energy density for high performance applications. Thank you all for attending our historical quarter update. We look forward to updating you on our progress again next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
Q - :